Hugh Duffy: So good morning, and thank you for joining our presentation of the final results of the Watches of Switzerland Group for fiscal year '25. You'll be hearing firstly from me, Brian Duffy, CEO of the group; and then David Hurley, President of North America and Deputy Group CEO; and Craig Bolton, President, U.K.; and finally, last but not least, Anders Romberg, our Group CFO. I'll then have some closing remarks before opening the lines for your questions. In fiscal year '25, we achieved record sales of GBP 1.652 billion. That was plus 8% in constant currency versus prior year. And we had a stronger second half growth achieving plus 12%.  Our U.S.  division passed an important milestone, achieving sales of over $1 billion in the fiscal year. Adjusted EBIT of GBP 150 million was 12% ahead of last year, representing an improvement in profitability of 30 bps, and we ended with a decent balance sheet. Throughout the year, we continued with our strategy of investing for profitable growth through developing our showrooms with new points of sale for Rolex in the U.S., in Jacksonville and Plano, Texas. The stunning new Rolex flagship boutique here in London in Old Bond Street, expansion of Patek Philippe in Greenwich, Connecticut. And all in all, a total of 15 showroom projects for the group. And we have an exciting program of investment projects in fiscal year '26 and '27 that you'll see from David and Craig's presentations. We're delighted with the acquisitions of Roberto Coin, Inc.  and Hodinkee.  Integrations are going very well, and we have great prospects for those two businesses. Pre-owned, both Rolex CPO program and other brand CPO have performed very well, exceeding our expectations. As we have presented previously, we see significant growth potential in the luxury branded jewelry sector, particularly through Roberto Coin, but also with other luxury jewelry brands. We have relaunched our U.S. websites through Shopify, Watches of Switzerland is up and running and performing very well, and Roberto Coin and Mayors will go live in the coming weeks.  We see a really big opportunity in the online space in the U.S. The luxury watch market is unique and characterized by demand exceeding supply overall, long-term price inflation due to high-value commodity materials and Swiss franc-denominated production costs, strict management of brand image and distribution and relentless focus from the brands on product quality and innovation. Following many years of low growth and underinvestment, the U.S. market started to outpace other markets from 2019 and achieved an impressive compounded average growth rate from calendar 2019 through to '24 of plus 14% annually. This compares to a U.S. CAGR growth of 24.7% from fiscal year '20 to fiscal year '25, largely overlapping the same period. The U.S.  is now the clear #1 market globally.  The U.K.  market, in fact, is the #1 market on a domestic per capita basis and has shown consistent long-term growth over many, many years.  The U.K.  market has grown at a compounded average growth rate of 5.1% from calendar '19 through '24. We have outperformed the market growth over this period with a rate of 8.1% fiscal year '20 to fiscal year '25. The chart on the right shows the comparison for the U.S., U.K. and global markets in the year to April '25 compared to '24, '23 and '22. Compared to '22, the U.S. market in the year to April '25 has increased by an impressive 51% and the U.K. in the same period by 20%, both markets outpacing the global market, which was impacted by declines in the Asian markets of Hong Kong and China. Watches and Wonders 2025 where the brands present the new developments and marketing plans was excellent this year as are the new products and plans presented by other brands who do not participate in the firm. We now have a new product family from Rolex, the Land-Dweller and more new novelties from Patek Philippe. Our refocus on icons from the major brands was great to see and a clear response from most brands to the trend in both men's and women's watches of smaller case sizes. The importance of value has clearly been recognized and there are some great marketing plans for the coming year, all very, very positive. Rolex Certified Pre-Owned and certified preowned of other brands continues to perform very well, exceeding our initial expectations. This chart shows the march of the luxury jewelry market towards branded product from unbranded product, which is the basis of our strategic focus on branded jewelry within particular, Roberto Coin and also other brands. Our model is working and is uniquely advantaged. We have scale, full in-house functional resources and the financial resources to support our commitments and growth plans. We have strong, very long-standing relationships with our brand partners. We have now diversified geographically and in complementary product categories of luxury watches, luxury jewelry, pre-owned watches, aftersales and servicing and also now media with Hodinkee. We are multi-brand, multiphase, multichannel and international. We are one of the largest and oldest players in our category with an extensive retail experience and a focus on client service. As presented earlier, the luxury watch market is strong, resilient and offers long-term consistent growth. Recent years impacted by the global pandemic resulted in a period of unprecedented volatility. The impact of the COVID years was a reduction in production up to 25% due to lockdown in Switzerland and an increase in demand as consumers had the disposable income and the time and inclination to shop for watches and jewelry. For the luxury watch category, this led to an increased disparity of supply and demand, resulting in a dramatic spike in secondary market prices and in excess of demand for new product. These excesses were corrected in '23, '24 period when demand normalized, although demand was further impacted by high price increases in 2023, which impacted the U.K. market significantly.  The U.S.  market was less impacted by price increases and has remained pretty strong throughout as presented earlier. Where we are now, we believe that brands have responded to the conditions with more modest pricing and a focus on new commercial product development and impactful marketing. Secondary market prices have now stabilized overall at above pre-COVID levels with some key brands showing some price increases in recent months. In our experience, the U.K. market has stabilized in line with pre-COVID growth trends, and the U.S. continues to be strong and outperforming other geographies. We will come on to talk about U.S. tariffs later in the presentation. If we look at our group's performance over this volatile period, we have delivered a sales CAGR of plus 13.5% fiscal year '25 on '19 and an adjusted EBIT CAGR for this period of 19.3%. We've achieved this performance by sticking with our model and optimizing our core business and adapting to new opportunities as pre-owned and branded jewelry. In terms of my key messages, we have made good financial progress and significant strategic progress. We have successfully navigated a period of unprecedented volatility. The markets we are in remain attractive.  Our unique model positions us well for sustained profitable growth and out-market performance. We are pleased with our financial performance and also with our continued support and engagement with our responsibilities in ESG. We are proud that thanks to our great colleagues in the U.K. and U.S., we were accredited a Great Place to Work this year. We are #7 in the FTSE 250 for female leadership. We are rated AAA by MSCI on ESG. And since its inception in 2021, I'm proud to say that we have now committed GBP 8.3 million to our foundation through which we support causes in the U.K.  and U.S.  focusing on education and alleviating the effects of poverty. I'll now hand over to David, the President of North America and Deputy CEO.
David Hurley: Thank you, Brian.  We're delighted with our continued growth in North America, having gone from no presence to $1 billion in sales in a little over 7 years. This has been driven by continuous investments in talent, technology, evidenced by our e-commerce launch, investments in our showroom portfolio and acquisitions.  The U.S.  now makes up 48% of our group and we see lots of opportunities for future growth in this fragmented market. This year, we've completed a number of significant showroom projects with key partners, particularly Rolex. These include the relocation of Mayors Tampa, Florida to a much larger space; the expansion of our recently acquired Betteridge Vail showroom; relocations of Mayors Jacksonville and Watches of Switzerland, Plano, Texas, where Rolex was introduced into the brand lineup and the conversion of our Mayors Lenox, Atlanta showroom into Rolex boutique. In terms of showroom investments, we still see significant opportunities to grow revenue  through renovations, expansions, showroom relocations and new agencies. We have a strong pipeline of projects through FY '26 and '27, which will complete the rightsizing of our existing estate. We're delighted with our new Patek Philippe salon in Betteridge Greenwich. We are finalizing the plans for the rest of the Betteridge showroom, and we'll begin this major refurbishment during FY '26. Watches of Switzerland Ross Park in Pittsburgh is an example of a new showroom we have opened that is anchored by Cartier and OMEGA. Both of these brands are performing strongly across our showroom network and also online. One year in, and we're even more excited by the potential of Roberto Coin than we were at the time of the acquisition. Roberto Coin has been performing well, and we're pleased to have retained an intact retail distribution network. Brian and I were in Las Vegas at the JCK Couture Show, and it was great to see the fantastic reactions to our product launches from our retail partners. We're working on a number of significant growth opportunities for this brand in the North American market. These include a focus on brand range, development and merchandising, ensuring the retail network has the right range and depth of key collections. We recently launched a marketing campaign with Dakota Johnson as global brand ambassador. This campaign has been received really positively by the press and our retail partners and will help to elevate the brand's prominence. We've developed a new in-store design and shop-in-shop concept that we've trialed in our Mayors showrooms. We have seen a significant uplift in sales from this and there's an opportunity to expand this through the wholesale network. We are also working closely with our department store partners and independent retailers on space expansion opportunities and pursuing mono-brand boutiques. During FY '26, we will also launch a new upgraded website to boost online sales. I'm pleased to share that we are progressing with three mono-brand Roberto Coin boutiques in Hudson Yards, New York, Miami Design District and Caesars, Las Vegas, which will be run through a DTC model. Roberto Coin has had phenomenal success with mono-brand boutiques in Europe and the Middle East, and we are excited about the elevation that these boutiques will bring to the brand in the U.S. Hodinkee is going from strength to strength. They've just had the most successful Watch and Wonders, and we are also very excited about what we have coming down the line over the next 18 months. Again, similar to Roberto Coin, we knew how influential, loved and respected Hodinkee was, but we are still very pleased by the support we are seeing from the watch brands and most importantly, the wider watch community. And finally, we are continuing to develop our e-commerce business. We've recently replatformed the watchesofswitzerland.com website on to Shopify. And there will be a migration of all of our other websites onto that platform. Very early performance is proving positive. We see e-commerce in the U.S. as a significant opportunity for growth. I will now hand you over to Craig, President for the U.K.
Craig Bolton: Thanks, David.  I would like to focus on the significant showroom development we have been delivering here in the U.K. across FY '25 and plans for FY '26 and beyond. Let's start with the most significant project completed this year. I am extremely pleased to announce we completed the development of the new Rolex boutique on Old Bond Street, London, opening on Friday, the 14th of March 2025. This boutique is the single Rolex agency on Bond Street from what was previously four points of sale, operating across 4 floors in circa 7,200 square feet including the first dedicated Rolex Certified Pre-Owned floor as well as 3 floors dedicated to sales and hospitality and an aftersales lounge home to 6 watchmakers and technicians. Let's take a look at this short video. 
Craig Bolton: So as you can see, it's an amazing boutique. The performance of this Rolex boutique has exceeded all expectations. We have received over 15,600 visitors in just the 13 weeks since opening. Having built an amazing team for our boutique, we engaged some months ago with Antonia Hock, an international client experience expert to help us with our team training and delivery of a world-class client experience unique to Old Bond Street. I am extremely pleased with our results so far in terms of Net Promoter Score and direct client feedback, particularly relating to the colleague satisfaction. We have continued the rollout of our luxury designs across a number of key locations in FY '25 with significant new developments and expansions for Mappin & Webb Edinburgh, Goldsmith, Milton Keynes and Cheltenham as well as Watches of Switzerland, Oxford Street. In November 2024, we expanded and more than doubled the size of our location in Fenchurch Street, London, converting the showroom to a new Watches of Switzerland. Across two floors and nearly 6,000 square feet, the showroom incorporates a large Rolex area along with multiple branded spaces for key luxury brands as well as the first branded Rolex Certified Pre-Owned space. As we move into FY '26, our first significant project was the completion of our joint venture with Audemars Piguet. Their AP House in King Street, Manchester, the only point of sale in the U.K. for Audemars Piguet outside of London. Across 6,500 square feet, the Grade 2 listed house has been designed with the highest level of client experience in mind, offering dine-in facilities, VIP space, music lounge and rooftop event and space. The client feedback in the early weeks has exceeded our expectations. Newcastle born and bred makes me very happy to be completing such a major refurbishment and upgrade to our amazing and beautiful Northern Goldsmiths showroom. The showroom is renowned for being the U.K.'s first ever Rolex retailer back in 1919, and Rolex, along with Rolex Certified Pre-Owned will feature heavily in this development, along with our amazing precious jewelry and luxury jewelry brands. This project completes July 2025. We are making great progress developing our first-of-its-kind Mappin & Webb luxury jewelry boutique in St Anns Square, Manchester. This Grade 2 listed building in the heart of luxury retail in the city will be home to the most amazing selection of luxury jewelry brands, created across 5,500 square feet of branded spaces with hospitality and bespoke event and space. It will also include the first De Beers mono-brand boutique outside of London. All of the brands in the showroom will be exclusive to Mappin & Webb in Manchester, giving us a real point of difference for our clients. The showroom is scheduled to open in September 2025. The remainder of FY '26 will see us complete a number of major refurbishments, expansions and relocations in key regional locations, majority completing in the first half of FY '26. This pipeline of amazing projects continues into FY '27. We had agreement from Rolex to double the size of our Rolex boutique on Buchanan Street, Glasgow. This hugely successful showroom has traded beyond expectations since opening in 2019 and now requires this expansion to allow us to service an increased number of clients as well as introduce Rolex Certified Pre-Owned in a dedicated space, and also to create a quality after-sales area with in-house watchmakers. This project will commence in October 2025.  Many thanks.  I will now hand over to Anders, our CFO, to discuss the financials.
Lars Anders Romberg: Thank you, Craig.  Before we get into the numbers, I wanted to take a moment to provide an overview of the group's financial framework for value creation. We operate in a market with attractive long-term structural growth dynamics, where demand continues to outstrip supply for key brands. As Brian and David talked to earlier, we have a strong track record of revenue growth, recording a CAGR of 13.5% since IPO, while growing our U.S. business to over USD 1 billion from a standing start in 2017, and we believe our key growth drivers will see this strong momentum continue. Likewise, our margin progression has been strong with a CAGR of 19.3% since IPO. Our balance sheet is strong, supported by good cash flow conversion. The group has a disciplined approach to capital allocation, focusing on organic and inorganic growth with surplus capital return to shareholders. I will talk in more detail about our capital allocation approach later. Finally, we offer our shareholders long-term compounding returns. On to the numbers.  FY '25 was a year of stabilization and a return to growth in the U.K., while momentum in our U.S. business continued to be strong. Sales came in at GBP 1.652 billion or plus 8% in constant currency. Sales growth was driven by the U.S. market with growth of 16% in constant currency despite the impact of the Q1 stock build. Our adjusted EBIT of GBP 150 million versus GBP 135 million in FY '24, was up 12% in constant currency, with an adjusted EBIT margin of 9.1% were up 30 basis points versus prior year. Our free cash flow was GBP 98 million and return on capital employed was 19%. If we split the year in two halves, you can see the improving sales trend with the U.K. returning to growth and the U.S. business up 19% in the second half versus the 11% in the first half. Turning to the income statement in more detail. As mentioned, group revenue at plus 8% in constant currency or plus 7% at reported rate. Net product margin percentage declined by 30 basis points due to product mix, partially offset by savings on interest-free credit. Our adjusted EBIT margin grew by 30 basis points to 9.1%, and adjusted EBIT for FY '25 came in at GBP 150 million, up 12% in constant currency. Adjusted EPS came in at 41.6p or up 9% on prior year. Our balance sheet is strong. In the year, we spent GBP 107 million on the acquisitions of Roberto Coin Inc. and the Hodinkee business, both of which are progressing well. Continued capital investment in our estate to elevate the network and drive future growth remains a key component of our strategy. Inventory levels were up 14%, reflecting inventory on acquisitions of GBP 54 million. Underlying inventory levels and turns remained healthy. As a reminder, inventory is a very low-risk asset in our category. We closed the year with a net debt position of GBP 96 million, reflecting acquisition spend. Our net debt to EBITDA leverage came out at 0.6x. We continue to be highly cash generative. Our free cash flow for the year was GBP 98 million with a cash flow conversion of 51%. This was impacted by one-off changes to supplier payment terms, which, if excluded, would have given a cash conversion of 71%. In March, we announced the launch of the GBP 25 million share buyback program, which completed in early FY '26. We spent GBP 11 million during FY '25. As mentioned earlier, we have a disciplined approach to capital allocation. Our focus is on showroom investments, strategic acquisitions and in the event of surplus capital, returns to shareholders. Showroom investment remain a key priority, offering attractive returns, and our ongoing elevation program is progressing well, as evidenced earlier by David and Craig. We have a disciplined approach to strategic acquisitions with strong focus on returns. This remains one of our key pillars for growth, particularly in the U.S., and where we to have surplus capital above and beyond the requirements of the business, we will return to shareholders as evidenced by the recent share buyback program. Across the piece, we look to optimize capital deployment for the benefit of all of our stakeholders, focusing on long-term sustainable growth while maintaining financial and operational flexibility, allowing us to react tactically to opportunities. The current macroeconomic environment is volatile, making it uncertain. Our guidance for the 53 weeks of FY '26 is based on current U.S. tariff rate of 10% maintained beyond the 90 days pause, currently announced margin changes from brand partners in response to the 10% tariff. As it stands today, the 10% tariffs on imported goods from Switzerland has led some of our brand partners putting through mid-single-digit price increases in the U.S., alongside reducing their authorized distribution networks margin percentage. Our view is that some brands are looking to share the tariff pain with retailers rather than passing the full cost on to the consumers. Our guidance is based on visibility of supply of key brands, which we have for the calendar year '25. Guidance also reflects confirmed showroom projects, but excludes any uncommitted capital projects or acquisitions. So we're guiding towards revenue growth in constant currency of between 6% and 10%. Adjusted EBIT margin percentage flat to down 100 basis points on prior year, reflecting margin changes from key brand partners. Our capital expenditure is planned to come in between GBP 65 million and GBP 75 million. The outcome of U.S. tariff developments remains uncertain. We are in regular dialogue with our brand partners, but it's too early to comment on the potential sector impact of further changes. We will provide further updates as to the potential impact on FY '26 guidance once the situation becomes clear. With that, I will now hand over to Brian for some final remarks.
Hugh Duffy: So thank you, David, Craig and Anders. And to summarize, the group has performed well during the year with significant strategic progress. We've continued to invest in our showroom estate and have a strong pipeline of projects through fiscal '26 and '27 with our key partners. The performance of certified pre-owned has been encouraging, and we have major growth opportunities for e-com in the U.S. and luxury branded jewelry.  . The integrations of Roberto Coin and Hodinkee have gone well, and we have initiated a number of significant growth initiatives with these acquisitions. Importantly, we have continued to support the Watches of Switzerland Group Foundation, which provides essential support to local and national charities focused on poverty, social mobility, hardship and education. We have a uniquely advantaged model with attractive strategic opportunities, and we are very well placed to continue to deliver profitable growth.
Operator: [Operator Instructions] Our first question is from Adrien Duverger from Goldman Sachs.
Adrien Duverger: So the first one would be on the U.S.  market, please.  Could you comment on what surprised you the most regarding the performance in the U.S. over the last 6 months? And can you also comment on the exit rate and what you've been seeing in the last couple of months? The second question would be with regards to the inventory. So given the numbers we've seen for Swiss watch exports coming into the U.S. in April, could you please comment on where you see inventory in the U.S.? And more broadly, how do you feel about the outlook for inventory allocation across the brands?
Hugh Duffy: Okay.   Thanks for your question. I wouldn't say it was too much surprising about the U.S.  market.  I think the original thesis that there was a great love of Swiss watches and that demand has been not fully potentialized because of underinvestment in retail. I think that's clearly been proven to be correct, passing $1 billion last year was, I think a real exceptional milestone for the group there. So we -- it's across the U.S., the performance has been good. There's a great appreciation and love for luxury watches. There's a fantastic market in the U.S. for luxury branded jewelry, which has also been very strong. And there's wealth, there's an attitude in America that people continue to enjoy life and indulge and respond to what we're offering of great client service and great environments and obviously representing the best brands in the market. So honestly, nothing that we would really characterize as surprising. We're going to keep working hard at it. Of course, we do we. We keep investing, we keep training our people. We keep elevating client experience and the consumer is responding very well. We did finish the year strongly. We've got really important initiatives that are going to be impacting in the year ahead, including the launch of e-com or the revised e-com launch, which is off to a great start. Very, very positive Roberto Coin and the potential that's there. And you heard from David the important steps that we've taken with mono-brand stores, with e-com and obviously, a fantastic reaction we've had to a great Dakota Johnson campaign, very positive about that. Pre-owned was much more established market in the U.S. and we've clearly managed to take a strong position in that, and we've got great momentum on Rolex CPO and other preowned. So we are very happy with the progress and happy that we understand that market and how to respond to it.  Anders?
Lars Anders Romberg: As for the inventory, Adrien, obviously, April was inflated because what the brands did, they accelerated intake to the market in expectation of tariffs. So it's not something that set the distribution network, it's more held by the brands themselves. So if you look at the U.S. market from an inventory point of view, it's very healthy. The growth in the market over the LTM period is 15.5%. So I think it's more relevant to look at it over an extended period of time than taking an isolated month. It is also important to recall that it's not -- these import numbers have nothing to do with what the inventory levels in the distribution network itself is. So there is no excess inventory in the market.
Adrien Duverger: No.  That's very clear.  And if I can just have a follow-up on growth in the U.S. Could you please comment on the growth in the U.S.  ex Roberto Coin?
Hugh Duffy: Actually, it's not a number that we've given out, so we can't be specific on that. But  as I mentioned, we have a number of growth initiatives. We know where we are on supply, obviously, from key brands, and that's played into our expectation. We have growth plans on the Roberto Coin, but we also have important growth around e-com around important projects, those that we completed towards the end of the second half of the last fiscal year and also we have plan going into this year. The uncertainty in the market remains tariffs, of course, which we made really clear we'll have, hopefully, clarification on that in the coming days, really, hopefully next week. But we have a number of growth initiative, Roberto Coin is an important one, but we have other important ones as well.
Operator: And our next question is from Jon Cox from Kepler Chevron.
Jon Cox: Sorry, Brian.  Your answer there on the U.S., I couldn't really catch it at the start. I think there's a problem with the microphones there. So you exited or more recent trading in the U.S. is improving, is that what you said? And I would like to ask the same question about the U.K. Just trying to get a feel for the overall market? Is it the same as it was a couple of months ago or things are improving? Or deteriorating, you think, on an underlying basis? Second question, just in terms of the shop closures you announced in the U.K. Just wondering what are your efforts there? Is it obviously to improve profitability? Just wondering in terms of the negative impact on revenue. I guess, those stores are pretty low, low, low single-digit million contributors at best in terms of revenue.
Hugh Duffy: Sorry, can you hear me okay now?
Jon Cox: Yes.  It's not great.  It's like you're talking into a tunnel or something?
Hugh Duffy: Okay, we've moved the mic a bit closer.
Jon Cox: That's -- yes, that's much better, yes.
Hugh Duffy: Okay.   So sorry, you didn't hear me or you missed out. I didn't say anything of improving. We did have a good second half both U.K. and U.S., as we've reported. So our only comment on the current trading as it's in line with our expectation. Nothing to report on it.  Good momentum.  We carried good momentum out of last year and that continues so far in this year. We have a lot of growth initiatives in the U.S., presume you heard me say all of that around jewelry, certified, pre-owned, e-com and a lot of great projects that we completed last year, impacting in this year and then other new projects that we have planned that David reported. So all good, and we've described the U.K. market as having stabilized following a period of really unprecedented volatility really impacted the post-COVID period and then impacted by resulting high inflationary prices impacting at a time when U.K. consumer sentiment was pretty negative. So the market overall and we within that market had a tougher period, second half '23 through '24.  We see that.  It's largely over the market, the consumer is behaving in a way that we recognize and our brand partners in particular, responding as they typically do to the market conditions, really great product development, modest price increases and great marketing to support the new products that are going on. So stabilize is how we see the U.K. market, and that's how we've projected it going forward. The closures that we did where, as you described, there's very little loss of sales actually. The agencies -- in those stores that we want to maintain, we have maintained and we've moved into other stores in the local geographies. So overall, as a cost saving for the year that we'll have from the store closures and no real significant impact on sales.
Jon Cox: Okay.  I want to just follow up in terms of your non-supply-constrained brands. Just wondering how the environment is for those or anyone maybe doing particularly well, maybe others for whatever reason, not doing particularly well? And just in terms of your guidance, what are your thoughts about -- will there be a decline? Is that what you're forecasting for those non-supply-constrained brands? Or are you assuming flat sort of development? Any sort of detail, that you could provide, it would be great. Everybody knows how great the Rolex and all the store expansions are. It's a great story. Just people are obviously a bit concerned more about the non-supply-constrained stuff.
Hugh Duffy: Jon, as you know, we have a really great portfolio of brand partnerships. The period I referred to, the volatile periods really impacted the kind of price segment sort of 3,000 to 7,000 around the brands are in that segment. Collectively, those brands, as has been very typical of the industry, it's pragmatic, it's responsive in terms of new product development and marketing has been -- and pricing, I think has been very, very good to be worked with the brands. There's more product -- new product impact, again, during the COVID years, new products were subdued a bit because there was obviously such initially huge demand get on and production was optimized during that time. But Watch and Wonders this year and the other brands are presenting new products. We were very, very pleased by. We have already had deliveries of new products and the reaction to the market has been good. So we're not calling out anything specifically with regards to those brands. And with regard today's market is very much more recognizable in terms of consumer behavior and brand momentum.
Operator: And our next question is from Alison Lygo from Deutsche Numis.
Alison Lygo: Three if I might, please. The first one is just on how you talked about the brands and their kind of reaction to the import tariffs and taking a bit of a price and also kind of some of the contraction on the margin. I'm just wondering if that's impacting how you're thinking about the ranging across your network in terms of those different brands where maybe you're being required to kind of take a bit more pain or maybe actually you feel like some brands are taking more price than perhaps their brands in the position to support kind of coming back to your earlier point in terms of more rational pricing. So just wondering if that's impacting anything there in terms of how you're thinking about the range that you're putting to consumers. And then the second one was just around supplier payment terms. So you were clear that there is a one-off change there in terms of working capital impact. Is that at all connected to what's happening in the U.S. and those kind of supplier brands? Or is it just a totally different kind of supplier base and completely unconnected? And then I'll come back on Roberto Coin, if that's okay.
Hugh Duffy: Okay.  Alison, thanks.  The changes that have happened not impacting our ranging overall. We have great brand partnerships. We've managed things long term with the brands. And there isn't anything within kind of differentiated behavior of the brand, if you like, that would cause us to reconsider any of that.
Lars Anders Romberg: In terms of the payment terms, it is a one-off correction by some of our network that they reduced terms in both the U.K. as well as in the U.S. We view it as a one-off and it's probably linked to working capital from their side, pushing it on to the distribution network. It should normalize. So our cash conversion should come back to the 70s or so in the coming year.
Alison Lygo: And then just...
Lars Anders Romberg: It's not connected to the tariffs, by the way.
Alison Lygo: Okay.  Got it.  And then just on Roberto Coin and maybe some of your kind of expectations and sort of plans for growth there in the year ahead, just wondering how we should be thinking about the incremental impact from those mono-brand boutiques both in terms of revenue and how maybe the operating economics shift? And then maybe how we should be thinking about the margins of that bit of the business progressing?
Hugh Duffy: Well, it's -- it's going to be an important year for Roberto Coin. We've spent the last year getting to know Roberto and his family, his management and Vicenza in Italy and also Peter Webster and the team in the U.S., getting to understand the market, and meeting a lot of the customers myself and David Hurley, in Las Vegas for the Couture JCK show and met many of the customers, we met quite a few last year, but we met a great deal more this year. It's a great, great brand. It's a fabulous product. It's a great market -- best market in the world for a luxury branded jewelry and from jewelry overall as the U.S. market, a great portfolio of customers and distribution. Now we've added to that some significant investment, obviously, behind Dakota Johnson campaign. And it's a brand that clearly is right for elevated distribution and the consumer presentation, and ripe for mono-brand development. Our plans are to do mono-brands directly, in some cases, where we are in a strong position within those markets. And also we plan to do it with good branded partners that are stronger regionally through our franchise model. We're also upgrading the presentation and our wholesale distribution, both with our strong independent partners and the department stores, and we're doing e-com. The three stores that David announced at all the markets that we're already strong in, one in Vegas, one in New York in Hudson Yards, and one in Miami Design District that was there already, we're just expanding the space and kind of upgrading the presentation. So the financial obviously are attractive from a margin standpoint, because effectively, we'll get combined wholesale and retail margin. And yes, very, very excited and confident about the prospects for the brand.
Operator: And our next question is from Kate Calvert from Investec.
Kate Calvert: Just coming back on Alison's question on Roberto Coin and trying to pin you down a bit more. Should we think about Roberto Coin as being a low single-digit growth business or a mid-single-digit growth business? What sort of rate of growth do you think we should be assuming for that business? And also just on the accounting, when you start putting mono-brand stores in, will that go into the wholesale line? Or does that go under the U.S. of a bit line as far as sales are concerned? And then my second question is just going back to the acquisition of the Ernest Jones package of stores, which you acquired a couple of years ago in the U.K. Could you just update us on the sort of returns and where you are with that package of stores and the performance they achieved last year?
Hugh Duffy: Kate, we're not going to give you a specific help on the growth plans on behalf of Roberto this year. We did well with Roberto Coin last year. We were  anticipating perhaps some reaction from the wholesale distribution. A lot of whom we compete with, obviously, in the watch world, but the reaction to that distribution has actually been good. So we start with a strong base, good momentum, and obviously, stores are incremental, online is incremental, expanded space. And our wholesale partners, department stores and otherwise, would hopefully be incremental. So we've got to go out, but we've formulated plans. I think we've gone about it in a good way, as I said earlier, getting to know the people, the product, the market, the customers well before initiating the growth plans that we have for this year. So we'll probably be more communicative as the year goes on, but I'm not going to give you any further direction on the assumed growth for Roberto at this point.
Lars Anders Romberg: In terms of where we're going to record the sales for the monobrands, a, I mean, it remains a very substantial part of the business going through wholesale, obviously. That will go in under our U.S. normal sales as part of the U.S. business and not separated into the wholesale segment. In terms of the E&Y sort of returns as such, obviously, when we acquired the business, it was predominantly inventory purchase. So we bought 32 million of inventory for a total consideration of 47 million, I think it was. So the value of the asset that we acquired was nominal. And what we essentially got was the right to the agencies. That was the big win in that acquisition. So the returns overall has been really helpful and good. We haven't disclosed any specifics on it, so I'm going to go out to that level of detail.
Hugh Duffy: And it's allowed us get to rationalize distribution and presentation in a number of the regional markets around the country. So it's has been a positive step for us. And I think honestly, a positive step for the market overall.
Kate Calvert: Just follow up with one other question. You're sounding quite positive on the innovation that's coming through for peak. Do you think the balance or mix between the entry and higher end sort of watch price points is back to normal?
Hugh Duffy: I think, yes, the impact of new products, maybe even a little better because there was a bit of catch-up to do. I think new products didn't get the same sort of featuring during this volatile COVID influence period. So it's just -- you'll see the products. We announced them.  You'll see them, you will see them from the brand, you see from us. And it's a great combination of new product excitement supported with great marketing. So it's positive for sure. And we are obviously working with the brands very closely on product launches and cooperative of activity, whether it's advertising or events or online activity and so on. So all good for the market.
Operator: [Operator Instructions] Now our next question is from Melania Grippo from BNP Paribas Exane.
Melania Grippo: This is Melania Grippo from BNP Paribas Exane. I have two questions. First question is on your CPO business. You mentioned that the certified pre-owned is growing very strongly with Rolex becoming the #2 watch brand. I was wondering if there is any significant, any difference in the U.K.  versus the U.S.?  If you plan to add further locations for Rolex and the other CPO stores? And what is your -- what do you believe is the number that you can achieve there? And my second question is on the online. If you can please remind us what it represents.
Hugh Duffy: So CPO, the pre-owned market was always and remains much more developed in the U.S. And that's been reflected in our relative development of that category as well. Remind you that we did acquire expertise in the category when we acquired Analog Shift. And it's around the team in Analog Shift that we've really developed Rolex CPO and pre-owned . So it's a great expertise and a very good market in the U.S. and great momentum. The U.K., having said all of that, is also and proportionately has done from where they came. I think even better. And again, we've set up all of the logistics for procurement and handling logistics between us and Rolex back to the market. We've brought in, again, some expertise in the category. And it's been a great business development for us. In terms of changes in momentum and other positive impacts, we are implementing from Rolex directly both window and store furniture. We're investing more in supporting the business online. And -- there are a number of things that I think is driving the momentum ahead and what is clearly a very significant category for us overall.  Anders?
Lars Anders Romberg: In terms of online, first, as a reminder, half of our business is not transactional online because Rolex and Patek doesn't allow us to do that. So that's just to put things into context. So our online business is around 6% or so of our business overall and growing. And we have high expectations in the U.S., as Brian alluded to earlier. So we're in the early stage there. We still need to integrate the Hodinkee traffic into our network, which we're working on. So that will happen throughout the next quarter or so. So we really look forward to that.
Operator: And as there are no further questions over the phone, I will hand over for any webcast questions. Over to you, Daniel.
Unknown Executive: Thanks, Serge.  So we do just have time for some questions from David Hughes from Shore Capital. Firstly, for the growth expectations for FY '26, how much do you expect in the U.S.  versus the U.K.?  Secondly, do you have a number in mind for the number of doors in the U.S.? And thirdly, what are the moving parts in your guidance between the negative 100 basis points and the flat EBIT margin?
Hugh Duffy: Yes.  I mean, we'll apologize to David if he's listening, we haven't given, we never do give the split by regional market overall. So we just gave our overall guidance for our group for fiscal year '26. We have fewer doors, obviously, in the U.S., but they're bigger, they're highly productive. There's scope for expansion in the U.S. with new developments that are going on with underserved markets and potential from acquisitions. So I think if you look at our track record of how we've grown, we'd hope to continue to still have those same levers of growth, which would include door expansion. But we've never been public on saying this is the overall objective. And quite honestly, it's kind of hard to determine in any event. The opportunities are there, but we've got to get -- got to do the deals, we've got to get the support of our brand partners, and we're going to execute and we carry on doing all of that, and we will expand doors in the U.S., but we've never given out a specific number.
Lars Anders Romberg: In terms of the margin question, obviously, if you hit the upper end of sort of our revenue guidance, you get the operating leverage as a result. So that would obviously bring you closer to flat. At the lower end, you would experience less leverage, and therefore, you would have a more deterioration on your margin.
Unknown Executive: And with that, I'd like to hand back to you, Brian, for closing remarks.
Hugh Duffy: Okay. Thanks, Daniel. Thanks, everybody, for joining and your questions. We're feeling good and upbeat as we're 2 months into this new fiscal year as we've described the market conditions that we're in. We feel good about the U.S. market strong, the U.K. market stabilized. So all notwithstanding whatever might happen in tariffs, which I think we've made very, very clear. Our model clearly is working. It's advantaged overall, it allows us to outperform the market as we've consistently done now well over a decade, and we continue to do that. Exciting growth plans up ahead. We have got great projects. We've got the projects that we completed in last fiscal year, for example, Bond Street and Lenox in the U.S., the Patek salon in Connecticut and so on. Some great projects we completed last year, fully impacting on this year, a number of great projects that we have in the pipeline that we presented to you for this year. CPO, we've talked a good bit about great momentum behind it. We love the business, and we continue to expand e-com in the U.S., we think is really exciting opportunity that we will develop over the next few years. Roberto Coin is a great brand, and we think there's really great potential behind it, and we've outlined all of the plans that we have there. And beyond Roberto Coin, other potential planned growth in jewelry, including the opening of our store in Manchester, which will happen in September. So we feel we're good and upbeat about the year ahead. And thank you for joining us again. Thanks for your support and a huge thank you to our team for having navigated through this period that we've had and for everything that they're doing to keep our clients very happy now. Thank you.